Operator: Good morning, ladies and gentlemen. My name is Tracy, and I will be your conference operator today. At this time, I would like to welcome everyone to Polaris Third Quarter Earnings Results Conference Call. [Operator Instructions] Mr. Richard Edwards, Director of Investor Relations, you may begin your conference.
Richard Edwards: Thank you, Tracy, and good morning, and thank you for joining us for our third quarter 2013 earnings conference call. A slide presentation is accessible at our website at www.polaris.com/irhome, which has additional information for this morning's call. The speakers today are Scott Wine, our Chairman and Chief Executive Officer; Bennett Morgan, our President and Chief Operating Officer; and Mike Malone, our Chief Financial Officer. Today we will be discussing certain topics, including product demand and shipments, sales and margin trends, income and profitability levels and other matters, including more specific guidance on our expectations for 2013 and some qualitative comments on 2014, which should be considered forward-looking for the purposes of the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from those projections in the forward-looking statements. Now I'll turn it over to Scott Wine. Scott?
Scott W. Wine: Good morning, and thanks for joining us. Five years ago in mid-October, we were concerned about credit availability in the ensuing financial crisis. Just 5 days ago, we were again worried about the debt ceiling and the government shutdown. Over the past 5 years, Polaris faced tough decisions and we did what was required to build the stronger, more diverse and much more profitable company that we are today. We now expect our elected officials in Washington to make their own difficult choices and set a course that will revitalize our economy. While I'm not certain what will happen in our nation's capital, I am confident that Polaris will remain focused on innovation execution, which our team did extremely well in the third quarter. Dealer and consumer demand for our Model Year '14 vehicles was excellent, and our new Aixam Mega and Klim businesses are providing incremental revenue and fresh avenues for growth. Total sales for the third quarter surpassed the $1 billion mark for the first time in our history, increasing 25% to just over $1.1 billion. Despite ongoing competitive pressure and amplified promotional spending, we continued to gain share in Off-Road Vehicles, delivering a 23% revenue increase in our largest business. Snowmobile sales were up 25%, and high attachment rates, coupled with outstanding execution by Steve Eastman and his team, spurred 37% improvement in our PG&A revenue. International sales grew slightly faster, up 38%, and strong organic growth was augmented by Aixam Mega sales. Despite outstanding retail, motorcycle revenue was down 6%, but I think of this as the calm before the storm as the Indian business is poised for rapid growth and the new Victory lineup is positioned to attract expanding set of bikers and buyers. Third quarter net income from continuing operations rose 24% to $116.9 million, yielding record earnings per share of $1.64, a 23% improvement over the prior year period. Our earnings growth was a bit muted by ordinary and a few atypical factors as high spending for the Indian launch and our overall 31% increase in operating expenses was only part of our drag on profits. We also took an 80-basis-point hit to gross profit margins due to a royalty contract dispute and again overcame the legacy long-term base compensation hit from the rapid rise in our stock price throughout the third quarter. Overall, the unprecedented volume of new products we introduced proved beneficial from a mix perspective, and our operations team executed extremely well to drive gross profit up 90 basis points. We projected a strong second half, and the third quarter delivered on that commitment. Reflecting on what has transpired in the 2 months since we officially launched Indian Motorcycles, it occurred to me that bringing this business back to life is quite similar to the birth of a child: tremendous excitement and anticipation followed by great joy and adulation and the years of really, really hard work. Continue that metaphor a little bit longer, and it is easy for me to say that Steve Menneto is the best parent you could ask for, for this business. His motorcycle team executed the commercial launch exceptionally well, garnering incredible press coverage and several prestigious awards, including our new Indian Chieftain being named Motorcycle of the Year by RoadRUNNER Magazine. Our Indian website set Polaris traffic records each of the first 3 days following the launch. Facebook fans now exceed 400,000, and more than 13,000 people have taken demo rides. Indian is kicking and screaming to get going. The Indian brand promises high quality and performance, and I'm proud of the work our team has done to ensure our dealers and customers receive just that. As much as I wanted to ride my new Indians this fall, I still am [ph] without bikes as we remain focused on ramping up production to meet the strong demand for our 3 models. In mid-September, we began shipments to our constantly expanding global dealer network, which remains on track to exceed 200 distribution points by year end. Building a successful business in the competitive heavyweight motorcycle industry requires a great brand, highly refined bikes, premium distribution, a whole lot of cash and a world-class team. Indian meets all 5 of those criteria, and everything we learn from Indian, we are driving into Victory. We are playing to win in this space, and I'm excited about the quarter, the full year and the decades ahead in our motorcycle business. While Indian shipments and sales will ramp up rapidly in the fourth quarter, we're also benefiting from higher RZR XP 1000 demand, which was recently boosted further by the new XP 4. Our GEM electric vehicle business just announced an all-new electric vehicle, the eM1400, which will help our small vehicle business continue to advance in the fourth quarter. With strong growths across our portfolio, we are increasing our full year sales guidance to up 15% to 16% over 2012, and we now anticipate full year earnings per share in the $5.30 to $5.37 range, a 20% to 22% increase over last year. Financial results are an important measure of success, and we are proud of our consistent progress in the past few years. But strong financial performance is only one of our 5 strategic objectives, and it is last on our list for a reason. We expect to become a highly profitable $8 billion global enterprise over the next 7 years. And making progress toward that goal is at least as important as delivering strong quarterly sales and earnings results. Being the Best in Powersports PLUS is a fundamental element of our strategy. As our Model Year '14 news continues to flow across our product lines, it is driving growth, market share gains and in many cases, higher ASPs and margins. We are investing heavily in R&D and expanding our factories and distribution footprint to add much-needed capacity. While Indian is leading the way from RZR to RMK and Victory to Sportsman, we are elevating our brands to match our product performance. Growth through adjacencies will play an increasing role in our sales and profits in the years ahead. As we are demonstrating with our small vehicle business, we will use our balance sheet and our core strengths in innovation, distribution and execution to accelerate growth in new markets. GEM retail sales are up over 50% through the first 3 quarters, and we are still in the early stages of tapping its full potential. Klim is a great business because of their people as much as their high-performance apparel, and we are excited about adding this growth driver to our high-margin PG&A unit. The sequester cuts have curtailed orders for our military products, but we delivered strong growth in the third quarter and continue to build out what we believe is an industry-leading fleet of very light tactical vehicles. Our commercial business, anchored by the co-developed Brutus product from our partnership with Bobcat, is growing slower than we anticipated and serves as a reminder that we cannot grow out of our core business on product superiority alone. While International sales are at record levels for Polaris and we continue to extend our global reach through acquisitions and plant investments, we must expedite our growth outside of North America. Matt Homan is leading a business transformation in Europe that will enable us to serve that market locally, and we are beginning to accelerate growth in the Middle East and Africa as well. Mike Dougherty is doing the same in India with our joint venture with Eicher, and we are continuously evaluating our opportunity to expand more rapidly in other parts of Asia-Pacific and Latin America. As we strive to become a better company for our customers, dealers, investors and all other stakeholders, there's nothing more important than advancing our efforts to become a Lean enterprise. We are committed to adding value for customers, as indicated by the recent addition of Tim Larson to lead our customer excellence efforts. We are engaging in some of the best Lean consultants in the world to teach us, our leadership team, to identify and eliminate waste, not merely in our factories but across our business. Our Lean journey will be long, but it may be the most rewarding road we will ever travel. We expect to deliver strong financial performance, and we believe we have the talent, team and strategy to continue to do so. We are less than halfway to our goal of being $8 billion in revenue and $850 million net income, and we'll strive to expand margins and drive growth to ensure we get there as quickly as possible. I will now turn it over to our President and Chief Operating Officer, Bennett Morgan, who will provide additional insights into our operations and business unit performance.
Bennett J. Morgan: Thanks, Scott. Good morning, everyone. Polaris' North American retail sales accelerated in the third quarter, up 12% against strong third quarter 2012 comparables, driven by increasing ORV and motorcycle retail demand and a robust powersports industry that was up low double digits. PG&A sales, which are not included in the retail sales number that I report, are up an impressive 37%. With the strength of the third quarter, Polaris North American retail sales are now up 10% year-to-date. Dealer inventory is in good shape, up 16% versus 2012, primarily due to initial stocking of new Model Year '14 ORV segments and higher third quarter snow shipments. Our Model Year '14 product introduction represents the single largest launch sequence in Polaris history, with compelling news across multiple product lines and consumer segments, led by the relaunch of the historic Indian brand. Most Model Year '14 models began shipping in mid to late third quarter, and their impact on the marketplace is just beginning. We have an unprecedented level of mid-Model Year '14.5 [ph] model introductions across our portfolio, some just announced, that we expect will add further to our market leadership. Moving on to business unit performance. Off-Road Vehicles. The Polaris ORV business registered a record third quarter as revenue rose 23%, driven by strong double-digit contributions from RANGER, RZR, ATV and commercial. Year-to-date, ORV revenue has increased 12%. Polaris North American ORV retail improved in the third quarter, and we gained share for the 17th consecutive quarter in both side-by-sides and ATVs. Polaris' North American ATV sales grew low double digits, delivering the highest quarterly market share in our history as the industry grew about 10%. Polaris North American side-by-side retail sales improved low teens percent, and the side-by-side industry, we estimate, grew low double digits. RANGER sales were particularly strong. And late in the third quarter, we had outstanding RZR XP 1000 retail as the new 1000s began to arrive in dealerships. Less than 10% of our third quarter retail sales contribution came from our huge Model Year '14 product news, but early customer reaction has been very positive. The new RANGER 900 Crew, RANGER Midsize 570 and 570 Crew and Sportsman 570s are all in high demand, and we are looking forward to their impact on retail in upcoming quarters. We are staying on the gas with the very recent announcement of the all-new RZR XP 4 1000, just in time for the upcoming dune season in the Southwest. This highly anticipated 4-seat big brother to the 107-horsepower RZR XP 1000 had incredible initial dealer order response, and we will be on allocation for the foreseeable future. It is already in production, and we will begin dealer shipments within the next 30 days. The Polaris ORV armada of new industry-leading vehicle solutions keeps expanding and improving, and we remain hungry for retail and share growth in a more competitive ORV industry. The Polaris ORV Commercial business was up double digits in the third quarter, led by the new Brutus product rollout and sales to Bobcat. Our dealer network and product is in place, but frankly, speaking, we were too slow on some initial attachment shipments and too optimistic on early market penetration assumptions with the longer business-to-business purchase process and our low customer awareness within key customer segments. We are focused on success in this vital strategic opportunity and we are increasing investment in both marketing awareness and sales conversion as well as dedicated Commercial business resources as we move forward. Our Military business had a nice third quarter. Revenue grew significantly year-over-year. But more importantly, our team and products were awarded a number of key contracts. These include a special operations command LTATV award with an estimated value of $29 million over the next 5 years, a second contract from that same customer for a militarized ATV award with an estimated value of $9 million over 5 years, and a smaller initial German Army contract for MV 850s. Government agency order activity is up versus a year ago and versus the first half of 2013, and our new technology and business development efforts continue to progress. Snowmobiles. Polaris' third quarter snowmobile revenue increased 25%, while year-to-date revenue was up 30% as we accelerated our Model Year '14 shipment timing to better serve the dealer network and customer base. Polaris' early season-to-date retail sales are down mid-single digits in an industry up mid-teens percent, but only about 10% of the season's retail has occurred. So as always, the next 120 days will be critical for Polaris and the industry. Our product lineup is strong. And with the new Model Year '14 Indian entry rec/utility introductions, we expect retail and share performance to grow for the fifth consecutive year. Thanks to last year's healthy late-season snow, retail is up season-to-date, and early snowmobile consumer events have been well attended. We are excited for the riding season to begin in earnest. Motorcycles. Motorcycle revenue remained down 6% for both third quarter and year-to-date, due primarily to the quarterly and year-over-year shipment adjustments necessitated as we transition to our Lean RFM business model. However, we gained market share both for the quarter and year-to-date, as North American third quarter Victory retail sales rose over 30% in a heavyweight industry that grew about 20%. Year-to-date Victory retail is up about 10% in an industry up mid-single digits. Victory Model Year '14s are already arriving in dealerships, led by the new value Cross Country and Cross Road 8-Balls and our innovative new Factory Custom Paint Program. Motorcycle dealer inventory is in excellent shape, down sequentially versus the second quarter and with a small increase year-over-year comprised of dealer additions and initial Indian shipments that began late in the third quarter. Scott has already covered the details on Indian, so let me just say that we are eagerly looking forward to the future of our 2 exciting American motorcycle brands. Small vehicles. Small vehicle revenue increased over $21 million and 188% for the third quarter, due primarily to the Aixam purchase. Year-to-date, revenue was up 136%. Aixam had a good quarter. We continued to expand our European quadricycle market share lead in the third quarter and year-to-date as our retail sales remained roughly flat while the overall market declined upper single digits. Aixam celebrated its 30-year anniversary in September by launching a new generation of vehicles with improved styling, interiors, electronics and MBH [ph] performance. Initial deal orders have exceeded expectations. Goupil revenue grew nicely year-over-year, and year-to-date, customer orders are up double digits. GEM continues accelerate, with retail sales up over 50% for both the third quarter and year-to-date as our dealer network and B2B sales efforts gained more traction. We also recently announced our newest GEM, the eM1400, to our dealer network. The eM1400, which will begin dealer shipments in the upcoming months, is a more robust light-duty hauler that we expect will allow us to expand our customer reach. With the addition of Aixam completing our growing GEM -- complementing our growing GEM and Goupil businesses, we are pleased with our portfolio of small vehicle brands, our improving business scale and profitable financial performance. Parts, Garments and Accessories. Our PG&A business growth continues to outperform the Polaris portfolio. Third quarter revenue exceeded all previous records, up 37% and raising year-to-date revenue to up 33%. Growth from every business unit and product category exceeded 20%. Our distribution capacity and response was bolstered when our new Wilmington, Ohio, distribution center, which serves our Eastern North American dealer network, went operational in August. The Klim business is growing nicely and has added a ton of apparel capability. Our 300 new Model Year '14 accessories are selling well, and later in the fourth quarter, we will enter the inverter generator market with a line of 1-kilowatt, 2-kilowatt and 3-kilowatt Polaris power generators that will be sold through a portion of our Polaris dealer channel as well as our e-commerce site. Our most profitable business at the gross margin level is performing well, and we are excited about our future opportunities in PG&A. International. Third quarter international sales were up 38%, driven primarily by the Aixam acquisition and strong ORV and PG&A sales. Year-to-date, international sales are now up 21%. Our EMEA business continues to outperform both the market and our expectations in the third quarter, with core sales up about 20% and total sales including Aixam up 52% off modest third quarter 2012 comparables. The European ORV industry remains relatively weak, with third quarter and year-to-date sales down about 12%. Polaris is building on its market share leadership position, with third quarter retail sales about flat and year-to-date retail sales down low single digits. The European motorcycle industry was down low single-digits for the third quarter and 2013 year-to-date, with Victory outperforming. Third quarter retail was up low double digits. Impressively, despite the tepid industries, all of our European subsidiaries increased revenue in the third quarter and year-to-date. Third quarter Latin America revenue increased 23%, driven by sales in Mexico and Brazil. Asia-Pacific remains weak, down 6%, although we are seeing positive Polaris signs in our largest market in Australia and improvement in our China performance. Our Eicher JV in India is making nice progress on plan, product and team. Building businesses in new regions and markets is never easy, but we are confident in our ability as we establish this foundation for a bigger global Polaris business. Lean and operational excellence. Gross margins expanded 90 basis points in the third quarter, driven by manufacturing productivity gains, product cost reductions through sourcing and value engineering initiatives and improved pricing. Net income margin remains healthy at 10.6%, down just slightly from the third quarter of 2012, due primarily to our continued aggressive investment in growth initiatives and capacity expansion. We have broken ground on our new manufacturing plant in Poland and expect to be producing product in the second half of 2014. The Monterrey plastic plant expansion is complete and operational, and the Spirit Lake liquid paint project is progressing as we continue to prepare that facility's conversion into a dedicated motorcycle plant. And finally, we are rapidly expanding our Milford facility in the Spirit Lake area to accommodate additional lines and volume beyond the current GEM and Brutus production. Factory inventory is improving, up less than sales at 12% due largely to acquisitions and product mix. And with that, I'll turn it over to our Chief Financial Officer, Mike Malone.
Michael W. Malone: Thanks, Bennett, and good morning to everyone. Our third quarter results built on the momentum we generated in the first half of the year, setting another record for sales and earnings. Based on this performance and our projections for the balance of the calendar year, we are again pleased to be able to increase our 2013 full year sales and earnings guidance. I would like to remind you of our previous disclosure in late July of a nonrecurring loss from discontinued operations of $3.8 million net of tax or $0.05 per diluted share in the third quarter. This nonrecurring charge resulted from a personal watercraft product that we ceased manufacturing in September of 2004. My comments going forward will be based on numbers from the continuing operations of the company. Sales of Off-Road Vehicles are expected to increase in the 11% to 12% range, up from prior guidance, with retail sales of side-by-side vehicles and ATVs continuing to outpace the overall market in both North America and internationally. We expect ORV market share to increase in 2013, although, as we have previously stated, at a more moderate rate than the past 3 years. As both Scott and Bennett have indicated, we are very pleased with the launch of our new Model Year 2014 products, and these products will help to drive continued sales and market share growth for the balance of this year and into 2014. Snowmobile sales are expected to increase in the low single digits percentage range for the full year, unchanged from our previously issued guidance. Shipments of the new Model Year 2014 snowmobiles are more heavily weighted to the third quarter than the fourth quarter this year, due to the timing of the production cycle. Motorcycle sales are expected to increase in the 15% to 20% range, unchanged from prior guidance. This guidance is based on Victory continuing to gain market share for the year and Indian Motorcycles ramping up production and global shipments throughout the fourth quarter. For small vehicles, which includes our GEM, Goupil and the recently acquired Aixam Mega brands, we expect sales to increase over 150% for the full year 2013. Both GEM and Goupil are expected to increase sales over last year, and the full year results will include about 8.5 months of sales from Aixam. We now expect PG&A sales to increase about 30%, which is at the upper end of our previously issued guidance range based on the momentum generated during the first 9 months of the year. Our guidance also includes the additional PG&A sales from the Klim and Aixam acquisitions. We expect sales in 2013 to customers outside of North America to increase about 25% over last year, up from our previously issued guidance. The revised guidance includes the strong third quarter performance of our International business and the additional sales from the Aixam acquisition in Europe. Rolling up the above product line sales expectations totals to a total company sales increased in the range of 15% to 16% for the full year 2013, which has increased from our previously issued sales guidance. Operating expenses are expected to increase slightly as a percentage of sales for the full year, which is a bit higher level of spending than our previously issued guidance. Operating expenses include our recent acquisitions; unprecedented level of investment in sales, marketing and distribution related to the Indian relaunch; and ongoing global infrastructure investment, along with higher incentive compensation expenses from the rising stock price. The start-up cost for the Eicher joint venture continued during the third quarter of 2013, and our 50% share of the loss is recorded as a component of non-operating expense on the income statement. The income tax provision rate guidance for the full year 2013 has been narrowed from our previously issued guidance and is expected to be in the range of 33.25% to 33.5% of pretax income, a decrease from the 34.9% reported last year, reflecting a benefit of the first quarter lower tax rate. In the third quarter 2013, our income tax provision rate was higher than the third quarter last year as we accrued additional foreign tax reserves along with providing for certain unfavorable tax events related to the finalization of the calendar year 2013 -- I'm sorry, calendar year 2012 tax returns. Guidance for earnings per share from continuing operations for the full year 2013 has been increased and is now expected to be in the range of $5.30 to $5.37, up 20% to 22% compared to the full year last year. Net income for the full year 2013 is also expected to increase 20% to 22% from last year. This equates to a net income margin slightly above 10%, a record for the company. We had no share repurchases during the third quarter of 2013. In the third quarter 2013, the gross profit margin percentage increased by 90 basis points, which is better than we had anticipated. We again experienced benefits from product cost reductions and higher selling prices during the quarter. As it was in the second quarter, the product mix impact was neutral in the third quarter after being negative for many prior quarters, due in part to the Klim acquisition and the initial RZR XP 1000 shipments. These impacts were somewhat offset by higher promotional costs, as expected, and slightly higher warranty costs during the quarter. Additionally, during the 2013 third quarter, the company lost a contract dispute, resulting in additional royalty payments, which had an approximately $9.0 million, or about 80 basis points, unfavorable impact to the 2013 third quarter gross profit margins. Future royalties related to this contract dispute are expected to amount to approximately 10 basis points per quarter through calendar year 2014. We have increased our gross profit margin percentage guidance for the full year 2013 and now expect it to increase up to 70 basis points from last year. We anticipate continued benefits from production volume increases, higher selling prices and product cost reductions, similar to what we've experienced in the first 9 months. Commodity costs and currency rates were both neutral to gross margins in the third quarter, but for the full year 2013, we continue to expect commodity costs to be somewhat favorable and currency rates, particularly, the Canadian dollar, to be negative to gross margins. We'll monitor these closely and we'll continue to utilize hedging strategies to minimize our risk. Lastly, we continue to expect a competitive sales promotions environment to remain aggressive and provide some pressure to gross margins for the full year. Moving now to our balance sheet and liquidity profile. Net cash provided by providing activities of continuing operations was about $382 million for the first 9 months of the year, an improvement of 50% from last year, primary resulting from the growth in net income, improved working capital and an increase in noncash expenses such as depreciation and incentive compensation. We expect cash flow provided by operating activities for the full year to increase about 20% over last year. At the end of the second quarter, our cash balance was $388 million, down from a year ago, reflecting the cash utilized to fund the acquisition of Aixam in April. We maintained $350 million of borrowing capacity under the unsecured revolving credit facility. We continue to have only $107 million in debt outstanding, which leaves us plenty of debt capacity to fund additional acquisitions and strategic initiatives. For the first 9 months of the year, our investments in capital expenditures and new product development tooling totaled $192 million, up significantly from the same period last year. During the quarter, an opportunity to purchase the land and building housing our previously leased Monterrey, Mexico, facility became available, and we moved forward and purchased the property. Our capital expenditures are now expected to be approximately $240 million for the full year. These investments also include the factory capacity and capability expansions as well as increased investments in tooling for all the new products in Model Year 2014 and beyond. We continue to expect depreciation and amortization for the full year to increase about 20% from last year's levels due to the increased capital spending. Polaris Acceptance receivables from dealers in the U.S. were $852 million at the end of September, an increase of 19% from a year ago. This increase reflects the mix change of higher-value side-by-sides and motorcycles and the higher dealer inventories that Bennett spoke of. The retail credit environment continues to remain stable, with approval and penetration rates near historical levels during the third quarter. The income from Financial Services for the year-to-date period through September, which reflects both our share of the Polaris Acceptance wholesale credit joint venture profitability and the fee income from the retail credit providers, was up 41% from the year-to-date period a year ago. So in conclusion, we are pleased with the third quarter results, particularly given the headwinds we had to overcome during the quarter. We look forward to finishing the year strong with record sales and earnings for the full year 2013. With that, I'll turn the call back over to Scott for concluding comments.
Scott W. Wine: Thanks, Mike. I'll try to be quick so we can get to the Q&A but do want to provide a few comments as we look into what to expect in 2014. Well, I'll start with a review of the global economy. I'm mindful of the fact we've gotten used to driving growth in the face of economic weakness. That, however, cannot last forever, and we will encourage pro-growth policy decisions wherever possible. While much of the global economy shows signs of optimism, these must be tempered by so many forecasts relying on the U.S. to lead the way to recovery. The U.S. may improve slightly from its subpar performance this year, but it should be noted that U.S. GDP has failed to reach consensus forecast levels each of the past 4 years. 2014 could certainly be a fifth. While we can only guess the economy's impact on our business, we can be certain that the competitive environment in powersports will remain high and possibly intensify. We are winning market share in the hotly contested side-by-side category, and as our Model Year '14 lineup demonstrates, Dave Longren and his ORV team are committed and prepared to once again win this competitive battle. We are mindful that growth requires investment, and we will continue to build infrastructure, especially in support of our global growth objectives. Our facility in Monterrey will be the model as it continues to pay dividends. That plant will deliver well over half of our side-by-side volume in 2014. M&A will also be a tool to expand our international reach and to enter new markets for growth. And if our funnel is any indication, acquisition pace will at a minimum remain steady throughout 2014. We like the terms "make growth happen" and "outperformance." However, words do not translate well to the bottom line, so we will convert them to action by continuing to drive market share gains and retail growth across our business. Indian will enter 2014 with momentum, and we will have our shoulder to the wheel with that business throughout the year. We will not be buying any businesses in France next year, but we do expect to grow in EMEA as Indian and Victory accelerate motorcycle share gains and our plant in Poland begins to support ORV growth in the second half. We will continue to invest aggressively in R&D, and the output from our Wyoming facility expansion will continue to cover everything from the new Slingshot to innovations to almost every category of our Off-Road Vehicle business. We will make meaningful progress on our Lean journey next year, with continued focus on motorcycle quality and lead times and a new emphasis on our ATV product lines. Done right, we can deliver notable improvements in cost and inventory, although expect them to ramp up late in the year next year. With the outlook for interest rates no more certain than U.S. fiscal policy decisions, we will plan for continued volatility in currency markets, but slightly more stability in commodities. We have a very talented Treasury Department and are reasonably comfortable managing risk and will continue to aggressively do so. While we are beginning to plan for the year ahead, our focus on energy remains squarely on finishing 2013 on a soundly positive note. 2014 should be another year of profitable growth, although the magnitude is really a guesstimate until we get further into the fourth quarter. At this point, we see an easier path to revenue growth than continued margin expansion. Our product lineup and business unit plans will be strong, but the risk of political startup or economic crisis somewhere in the world provides just cause for concern. External factors aside, my confidence in this Polaris team and their proven ability to execute in good economies and bad, leads me to believe that we will build upon our recent success in the year ahead. With that, I'll turn it over to Tracy to open the line for questions.
Operator: [Operator Instructions] Your first question is from Mike Swartz with SunTrust.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc., Research Division: Could you maybe just run through the -- I guess, the royalty issue that hampered gross margin in the quarter, just give us a greater sense of kind of what that stems from?
Scott W. Wine: Actually, that issue was under a confidentiality agreement. What we've said today on the call and what we've issued on the press release is all we're going to comment on it. That's about it.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc., Research Division: And you said the impact going forward through '14 is about 10 basis points a quarter. Is that what I heard?
Scott W. Wine: Yes, that's right.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc., Research Division: Okay, great. And then just with the timing of snowmobile shipments this year, could you just provide us a little more granularity around that, and maybe the magnitude of what that shift was in the quarter?
Michael W. Malone: I mean, the issue was really around -- and this is something that's historically happened periodically for us. But really, as we've alluded to, we are a little bit at a capacity problem, especially in our Roseau plant, where all of our snowmobiles are made. And as we try to make room for the significant Model Year '14 news in Off-Road Vehicles, one way to make capacity available was to ship more snowmobiles early, and we chose to take advantage of that. And certainly, positioning sleds for availability, heading into the heavy retail season, is not a bad move for us.
Operator: Your next question is from Robin Farley, UBS.
Robin M. Farley - UBS Investment Bank, Research Division: Two questions. One is on the settlement. I know you don't want to go into more detail about it. But just -- are we thinking about it correctly that your earnings would have been $1.72 and your gross margins would have been up 170 basis points without that? I just want to be sure we're thinking about that right. And then in terms of Indian Motorcycle, I know it's -- there's a supply constraint that you don't necessarily want to quantify for next year. But can you at least talk about what you may ship in Q4 for Indian Motorcycles, just so we can get a sense of where supply capacity is right now? And then just lastly, you gave a dealer number. I think you said something like 200 dealers by the end of the year for Indian and I assume that includes international as well. How many of those are U.S. versus your target of the 125 to 140 dealers?
Scott W. Wine: Boy, that's a mouthful there, Robin. You've got your math right on the royalty dispute issue. So that is correct. Although it should be noted, it's difficult to back in -- back out onetime items and put them back in because you never know how we would have spent the money otherwise. But assuming everything else held steady, that's exactly how it would have worked. The Indian shipments are, as we've said, were ramping up nicely. Capacity is really a constraint right now. We're not going to disclose, actually, numbers for the fourth quarter or the numbers next year. But I think the important thing to note on Indian is that while the initial challenge is ramping up dealer availability and getting our presold units, which we're quite pleased with, getting those filled, this is really going to be a pull model from the very beginning. So what happens in retail is what we're going to ship, and I don't think we're going to have a capacity constraint meeting whatever that retail number is. Now if I'm wrong, it would be a wonderful day for Polaris. But nonetheless, I think we're going to let retail drive the shipment schedule for the fourth quarter in 2014. As far as dealers, you've done the math right. We've got -- we're still on track to hit the 125 to 140 here in North America. And the rest, we think we're probably going to be at or above 70 in North America -- I mean, outside of North America. So that's how it works. Next question?
Operator: Is from Jamie Katz with Morningstar.
Jaime M. Katz - Morningstar Inc., Research Division: Can you guys, I think, talk a little bit more about the competitive environment for Off-Road Vehicles? I think the press release said that North American retail sales were up low double digits, and then side-by-side and ATVs growing double digits, so a little bit closer than maybe in the past. Are other competitors promoting more or selling more competitive products? And then could you talk a little bit about the progress of the Indian joint venture?
Bennett J. Morgan: Yes, Jamie, this is Bennett. I'll try to take the ORV competitive market environment discussion. I think as we've seen, and from competitive product launches, there's been a tremendous amount of activity, particularly in side-by-sides, over the last year and a half, and there's no question it's a broader, more competitive marketplace out there. I think competitive products are improving. But again, what -- the way we look at it is our third quarter was stronger than any quarter we've had yet. We're clearly building momentum. We came to a Model Year '14 product launch that we had been targeting, where we had broad news across every critical segment in ATVs, RANGERs and RZRs. And frankly, those Model Year '14s, as I touched on in my remarks, really didn't contribute much to the third quarter retail. So we were able to gain share, and I think we feel good that the industry was up double digits. That's awesome. I mean, a strong industry is helpful. And we think we have, frankly, the products now to further extend our lead. From a standpoint of promotion, it's been as we've seen. It's been pretty aggressive. With our armada of products across the portfolio, a number of our competitors are choosing to promote more aggressively. And that's, again -- that's aggressive, but it's really within our expectations of how we thought they would compete. So we feel pretty good, really. I wouldn't -- we're not certainly alarmed that it looked like we had a little less market share gains and we've become spoiled by, because again, we feel really good about what we've got coming into the retail marketplace today.
Scott W. Wine: And then Eicher, the entire group.
Bennett J. Morgan: Sorry, I was so consumed with that. The second question was?
Jaime M. Katz - Morningstar Inc., Research Division: Just the progress of Eicher.
Bennett J. Morgan: Eicher is moving along very nicely. We've really filled out the entire operating leadership team, and the plant is under construction in Jaipur, India. And we're on track for a late 2014 launch of this new vehicle solution, which again, from all of our consumer insights, looks like it should be very compelling. So we're very pleased.
Operator: Your next question is from James Hardiman with Longbow Research.
James Hardiman - Longbow Research LLC: Help me connect a couple of the dots here. You had low-teens retail growth -- this is ORVs, specifically, low-teens retail growth. Inventories were up high-teens, obviously, as has been the case the last couple of quarters. New SKUs are contributing to that inventory growth. What does that look like in the absence of the new SKUs? And ultimately, anecdotally, everything I'm hearing is that dealers can't get enough of the new product to satisfy the demand. And yet, inventories are up. Is this a timing issue, where a lot of it shipped at the very end of the quarter? Is it the makeup of the inventory? How should I think about all of that?
Scott W. Wine: Yes. James, I think you're actually pretty close. We continue -- as we develop these new product solutions, we are adding what we would call new segment stocking requirements. That's going to increase inventory. But I said less than 10% of our retail, about 15% of our inventory at the end of September was in those Model Year '14s. So a large part of that is just -- we're just moving the products that the dealers are, as you've said, demanding very, very highly of these new products. So we're trying to get those in the marketplace as quick as we can, and we did a good job in the third quarter of that. So I think, really, as you're looking at it, I think you've got it nailed exactly. And obviously, again, the other material difference is, were up a couple of percentage points on that from a snowmobile shipment standpoint that we've pushed into the third -- pushed is the wrong word, but moved into the third quarter.
James Hardiman - Longbow Research LLC: Great. And then just a couple of follow-ups on that. I thought that was really interesting that the idea that only 10% of the retail was on the new products. That seems like a really low number. How does that compare to prior years? Are you maybe a little bit behind in terms of getting some of the stuff in the channel? And as I look at the individual new products, I mean, it sounds like we've got a ways to go before we match demand on the new XP 1000. But can you maybe go through some of the major new products that you guys announced in whenever it was, late July, early August? What's the availability on some of these new major products and how do we expect that to progress as we move through the fourth quarter?
Scott W. Wine: Yes, sure. Again, we had really broad new product news. So I think from a retail standpoint, in many ways, it might be about similar. We just had a lot more news then we had, for example, last year. And so there's -- frankly, I think there's a lot more opportunity as we move into the fourth quarter and beyond. We did a nice job of moving, I would say, significant shipments in each of those models. With the 570s, we still have the RANGER and the ATV, Sportsman 500s that dealers are still in the process of transitioning to. So we're starting to fill those segments now. And I think we'll see that translation to retail much more aggressively here in the fourth quarter. The RZR XP 1000s, like I said, people can't get enough. We're still very tight and probably be tight on those for the foreseeable future.
Bennett J. Morgan: And the XP 4.
Scott W. Wine: And the XP 4, obviously, will begin here in the next few weeks, and I think we'll be tight on those well through the end of the year. And then the Crew 900 is, again, in high demand. And we're in the process of filling that -- those segments out as well. But again, I think we'll be tight on those products for a good part of the quarter as well. So we feel pretty good.
Operator: Your next question is from Scott Stember with Sidoti & Company.
Scott L. Stember - Sidoti & Company, LLC: Could you talk about -- you mentioned that Brutus was going a little bit slower than expected within the Polaris channel. Could you talk about how the Bobcat version is selling within their channel?
Scott W. Wine: Yes, I can give you a little bit of color. It's -- we've talked to Bobcat. They're about the same speed as we would be. So in our Polaris vernacular, everything's always too slow for us. And I think this is really largely in part to Polaris resetting its expectations for a different purchase cycle and a business-to-business environment that those -- that purchase cycle takes much longer. And again, Bobcat seems comfortable with largely their sales rate. We're disappointed, frankly, and we expect more of ourselves than of Bobcat, and we're going to kind of redouble our efforts, really trying to improve our marketing and our resource attack, as we really think this is a strategically important part of the business that we really want to excel in as we look forward on. So that's really the color you're hearing in my remarks.
Scott L. Stember - Sidoti & Company, LLC: Got you. And now with the facility in Poland breaking ground there, could you talk, just maybe refresh us on whether the assumptions for synergies for 2014 and beyond have changed, or is everything pretty much still on track there?
Michael W. Malone: Scott, this is Mike. Yes, I think everything is pretty much on track. We're happy, so far, with the production plan. It appears to be on schedule, on budget, so that we'll be up in production by the second half of 2014. If you recall, our estimates were that we were going to be able to save about $20 million in gross margins at maturity, when the plant is up and running. We get an annualized level of production coming out of that facility. So that's all on track.
Operator: Your next question is from Tim Conder with Wells Fargo Securities.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Just a couple here. First, Bennett, on the dealer North American inventories, clearly a lot of reasons why they're up. When would you anticipate those coming back down? On the chart you have on Slide 9, should we anticipate those being backed down below 2012 levels by year end, or did you allude in your preamble that, that may take more the back half of '14 before we see some cost and inventory -- you made some cost and inventory comments about some significant improvements by the back half of '14. So that's one question, and then I have 2 for Scott.
Bennett J. Morgan: Well, the -- I'll just take it, Tim. The -- my comments on the progress in cost and inventory was related to factory inventory. Obviously, as we get better with our lead times, which is a primary goal of what we're doing with our Lean objectives, we'll require less factory inventory and ultimately, less dealer inventory as well, and that's the goal. It's really not realistic, given the model year '14 news, given the Indian shipments that we can bring inventory down below 2012, dealer inventory, by the end of that year. I do expect -- I mean, remember, we see -- what we report is quarterly retail. But within the quarter, there's a lot of fluctuations sometimes between what happens in the month, and we're hopeful that we get that right. The end of the quarter month happens to be when retail hits where it should. So we're certainly expecting and our actions and our forecast expect dealer inventory to decrease from the 16% -- sequentially, from the 16%. But it's not realistic to think that it's going to go negative as compared to last year.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay. Okay, well -- that's well understood and it makes sense. Okay. And then the other 2 questions would be, number one, on Indian. You had said, Scott, in a meeting I think that, when asked the question, when could Indian potentially become the same size as Victory? You've said that, I think, earlier in the year that, that could be in 2 to 3 years. Any change in that thought process as the way things stand now? I think Victory did 12,000 units globally in 2012.
Scott W. Wine: I'm not sure that I ever said 2 to 3 but if you're telling me that's what I've said, it's possible. I would say is it's at a very -- again, as I mentioned earlier, this is really about retail demand and our early indications are that retail demand is very strong. We expect Victory to continue to grow. But I would say it's probably 1- to 2-year -- probably not '14, but certainly, I'll be [indiscernible] quite a bit if it's not '15.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay, okay. And then lastly, on your net income margin. You had said in the analyst presentation, reiterated here, you anticipate, over the long-term, a little over 10%. You're already there. And then if you benchmark off of Harley, for example, they're approaching 14%. I mean, over 10%, you're basically still saying over the next however many years, you're going to hold flat basically at net margin, or should we expect some very modest ongoing improvement?
Scott W. Wine: I mean, I -- if you just do the math, to go from where we are to $850 million of net income on $8 billion in sales, we're going to continue to expand net income margins. What we've said -- and we're not going to get into financing and have all of the elements that some of our competitors have that contribute to the P&L. So while it's a good comparison, it's not our -- the net -- the gross margin numbers, the gross profit margin numbers is a good goal for us, but not the net number. We are looking to become a much more global enterprise and a much more diversified entity. And as we do that, I've tried to explain, some of the markets and some of the products we get into will have initially a lower net income margin. We've demonstrated that we know how to expand margins and we will get after anything we get into to bring them up to the corporate average. But I'm just saying over the next 5 to 7 years, expect us to enter some markets that start off at lower gross -- net income margins than our current business, and we'll be bringing them up over time.
Operator: Is from Greg Badishkanian with Citigroup.
Gregory R. Badishkanian - Citigroup Inc, Research Division: Just to clarify, in the last quarter, you're expecting -- in the last, actually, 2 to 3 quarters, you've been expecting acceleration in the promotional environment. This is kind of in line -- what you saw the third one is in line with what you're expecting, right?
Bennett J. Morgan: Yes. Greg, this is Bennett. I think that's exactly what we expected. It is -- again, we'd wish it to be a tad lower, but with the nature that the market is growing and lots of new products from Polaris and competitors across the portfolio, people that are a little more older in the tooth are -- with some of their products are going to choose to be more aggressive around promotion to try to move their sales. So again, we've got that modeled into our expectations.
Gregory R. Badishkanian - Citigroup Inc, Research Division: Yes, that's what I thought. And then just from what you can see now, I'm guessing there's not a very significant amount of cannibalization between Indian and Victory, particularly. I mean, Victory seems to have really strong retail third quarter even though it probably would have a very little impact, Indian at this point. But is there -- what do you see there?
Scott W. Wine: It's still looking low single digits. I mean, we spent a lot of time researching that before we did this. And we expected low single digits, and it's been very encouraging how it's played out. And we've really seen lots of benefits to having both brands. And one of the -- obviously, we love having the iconic Indian in our portfolio, but it really has freed us up from a brand and marketing perspective and really a bike style and design perspective over the long term. So we don't see cannibalization increasing any more than that.
Operator: Your next question is from Jimmy Baker with B. Riley & Co.
Jimmy Baker - B. Riley Caris, Research Division: I have a couple of follow-up questions there on the motorcycle side. So first, can you just elaborate on the RFM implementation and if you would expect Victory shipments to be up meaningfully in Q4 as we work through that? And as a follow-up, with Victory gaining share showing more than 30% growth here at retail, is there a meaningful opportunity for you to leverage that growth and the new price points to get your new Indian dealers to take on both lines whenever possible?
Scott W. Wine: I'm going to double check real quick here just what we could tell you on fourth quarter on Vic here. Mike is taking a look at that real quickly.
Michael W. Malone: I don't think we should break it by brand.
Scott W. Wine: I think the embedded guidance for the fourth quarter is up significantly for motorcycles, which includes both brands. So we're not going to get into a discussion of individual brands or products.
Michael W. Malone: I think the part that -- as we work through this, which I think it's difficult for you guys with this transition to RFM. And that really took us most of the year to make that transition. You got some adjustment issues about trying to normalize our shipment. But obviously, with retail up 30% in the third quarter and our inventory levels being what we would say as quite current and quite comfortable, that's a good indicator that we're feeling good about our ability to ship.
Scott W. Wine: But remember, the timing of motorcycle shipments, there's not a lot of dealers across the country begging for bikes in December. So we'll try to manage that. And again, I think it's good for Polaris and ultimately good for our dealers. We are really trying to make this a dealer-driven pull system. So as they're retailing, they'll bring in bikes. So our focus is going to be on driving retail with both Victory and Indian.
Jimmy Baker - B. Riley Caris, Research Division: That's helpful. And then just quickly, if I can get you to elaborate on the Brutus disappointment. Can you give us a sense of what your expectations are for 2014 in terms of commercial side-by-side distribution growth, or is there some risk of dealer attrition in the line given the slow start?
Michael W. Malone: Jimmy, I think we said we were going to go with some of our most capable and committed subset of our existing Polaris ORV channel. So I think that's going to be -- from a Polaris Brutus standpoint, that will be pretty stable. Obviously, we have the reach of the Bobcat. We continue to look for other what we would call strategic alliance opportunities. And we expect that both of those brands and dealer channels will grow nicely from a retail standpoint as the ramp continues to accelerate and we're able to improve upon our awareness and conversion on that B2B process into '14. At this point, we're not going to necessarily model for you exactly what the expectations would be from a financial standpoint, but we expect to significantly improve upon our retail rate with both brands and channels as we head into '14. And I'm not worried about significant attrition on either side at this point. The dealers are, frankly, really just getting going and they're positive and the product's excellent, and the feedback were getting from our customers is positive. So it's just the very early innings, frankly.
Scott W. Wine: Next question?
Operator: Is from Gerrick Johnson with BMO Capital Markets.
Gerrick L. Johnson - BMO Capital Markets U.S.: In motorcycles, if a dealer is preselling Indian bikes before it gets delivery, is that included in your 30% up motorcycle retail number you reported, or is that purely Victory?
Michael W. Malone: That's purely a Victory, and that's a no. We would not see that into a retail number until it was actually registered. So anytime you hear us talk about anything about presold, that's just a proxy from a kind of an order process. It doesn't come into our retail numbers at all.
Scott W. Wine: And really, just by -- I mean, we've started shipping in mid-September, Indian, but it was not a meaningful number. In fact, not nearly what those pre-order customers or our dealers wanted. And I'm pleased with where we are now and we're ramping up nicely, but it was not an impact on retail or significant impact on retail -- at all on retail or sales for the third quarter.
Gerrick L. Johnson - BMO Capital Markets U.S.: Okay. And another dealer dynamic question here. When you ship sleds early, do you entice them to take those sleds by paying some of their financing? And if so, did that have any sort of impact on the quarter, and where would that show up?
Michael W. Malone: Yes, Gerrick. The answer is yes. We've always -- with a seasonal business like this, the way our industry works is that we help pay the floor plan interest for the dealer to incent them to carry the inventory pre-season, so to speak, before the snow flies. That's the way it always works. So to the extent that we're sharing in that interest cost, that is borne in a contra sale on our income statement, and that was embedded into our guidance and some of the actuals that we had in the third quarter for the little bit heavier-than-normal snowmobile shipments.
Operator: Next is from Craig Kennison with Robert W. Baird.
Craig R. Kennison - Robert W. Baird & Co. Incorporated, Research Division: Scott, you offered a sober reminder about the sluggish economy. Can you remind us how much of your business is tied to rural economies in particular and agricultural prices? And then secondarily, just comment on the M&A pipeline.
Scott W. Wine: We've been -- I -- it's probably not fair to say chased around. We've been question quite a bit on what happens if the farm economy slows down. The rural customer is probably well over half of our business. I mean, that multi-acre homeowner and those small farmers are -- they're -- that is the lifeblood of our Off-Road Vehicle business. As far as the farm and ag community, probably 20%. But as I constantly get reminded that their insurance payments will cover the cost of our vehicles. It's the larger equipment that's impacted. So as we think about the economic outlook, we're more broadly speaking into the overall U.S. economy, which it disappointed this year. The housing numbers aren't there, the employment numbers came out this morning aren't quite good. And as I indicated in my remarks, my concern is, is that I talked to economists, the projection is that the global economy is going to be based on our U.S. recovery, and I'm just not optimistic that the U.S. can get above that important 3% GDP growth number next year.
Michael W. Malone: M&A.
Scott W. Wine: And M&A, the M&A pipeline is -- obviously, we are building capability. Just like we're expanding capacity in our factories and distribution, we're building M&A capability. And as we build capability, we identify more opportunities and we're exploring those. We've never felt like we've got a gun to our head to move faster. We don't do deals that don't make strategic and financial sense, and we'll continue that discipline as we head into '14. But we do head in with a longer list of opportunities, and if things work out, we'll execute on a few of those.
Operator: Your next question is from Mark Smith with Feltl and Company.
Mark E. Smith - Feltl and Company, Inc., Research Division: With no share repurchases in this quarter, has your strategy or thought process changed at all on repurchases?
Scott W. Wine: No, our strategy stays exactly the same. We're obviously, first and foremost, funding the business. And we've done that, then we pay a dividend, then we go after M&A and then we repurchase shares. And we're still committed to maintaining our share count flat. And I just -- the timing of -- we spent -- we've decided to purchase the factory in Monterrey in the quarter and quite frankly, just didn't feel impelled -- compelled to purchase any shares in the quarter. But our strategy and our philosophy for capital allocation has not changed.
Mark E. Smith - Feltl and Company, Inc., Research Division: Okay. As we look at snowmobile, it looks like Russia and Scandinavian countries are becoming a bigger piece of the growth part on snowmobile. Is your Parts, Garments and Accessories business following, and is there more opportunity there on ORV as well?
Michael W. Malone: Our Scandanavia market really is pretty stable snow market. I would just tell you that it's generally performed a little bit better than the North American market due to snow, really, the last several years. We feel pretty good about that market. The opportunity for snow growth really remains Russia. I mean, Russia really is the growth region of the world for [indiscernible] and at least up to the last couple of years, that's been healthy. We'll see what the Russian economy does this year. On PG&A is an opportunity frankly, not just in Scandanavia, it's an opportunity frankly across the globe. We see plenty of opportunities everywhere for more penetration in all of our business units, and whether it'd be snow, ORV in Scandanavia and the rest, really.
Scott W. Wine: And Mark, I'll just add. As we look at the global economy, Russia is one where we do see risk in terms of their ability to maintain consistent economic growth, considering the expansion of oil production here in the U.S., potential loss of markets for that big commodity for them. So while we're doing well and we like the opportunity there, we're not putting a whole lot more eggs in that basket right now.
Mark E. Smith - Feltl and Company, Inc., Research Division: Okay. Last question, just for Mike, any changes in tax rates as we start to look into 2014?
Scott W. Wine: You don't believe Washington is going to have corporate tax rate reform?
Michael W. Malone: I think an early look at 2014 tax rate would be comparable to where it will land this year.
Bennett J. Morgan: Our last question.
Operator: Is from Joe Hovorka with Raymond James.
Joseph D. Hovorka - Raymond James & Associates, Inc., Research Division: I'm going to give you one more question on the dealer inventory. So you're looking at the Slide 9 and obviously, your units are higher than they are in 2009, but your retails are up significantly since then as well. So presumably, your turns and your dealers are up and your week inventory, down. Can you describe where we're at on a weeks inventory basis relative to, let's say, '12, '11, '10?
Scott W. Wine: Yes. We'll be directional with you on that, Joe. But you've done your math right. It is correct. Our velocity is up. And again, as we add to a broader portfolio, as we bring Indians into the segment stocking, as we bring in more and new and compelling ORV segments, there is going to be a natural tendency if we keep our dealer network flat that our physical number of boxes or units is going to go up, but our velocity, frankly, it's our strategy to continue to drive that faster and faster. And we've seen modest improvement in our velocity this year. And we're feeling pretty good about where we are in dealer inventory. That's why I characterize it as good.
Joseph D. Hovorka - Raymond James & Associates, Inc., Research Division: So your turns are actually up versus '12 or no?
Scott W. Wine: Yes, they're up.
Joseph D. Hovorka - Raymond James & Associates, Inc., Research Division: They are. Okay. And Indian is a lower turn than ORV or is it higher turn?
Michael W. Malone: Well, we're not going to get into that.
Scott W. Wine: Well, I'll get into it. It's going to be higher turn over time. I mean, our whole RFM philosophy that we started with Victory is predicated on a pull system, and we're not yet there. We're starting with motorcycles. We're going to go to ATVs and ultimately, get to side-by-sides. But we certainly expect motorcycles to turn faster, and Indian starts off that way, to turn faster than our overall business.
Joseph D. Hovorka - Raymond James & Associates, Inc., Research Division: So if we reorganize the chart on Slide 9, and we did it by turns, '13 will be the highest turn and presumably, '08 will be the lowest turn?
Michael W. Malone: For sure, '08 would be the lowest turn, followed by '09 and '13. We were very low there for a period when our business exploded and frankly, we were well short of the market. I don't have that data in front of me right now, Joe, but I know our turns are up notably from '12. And again, we were a little lean in '10 and '11, so I'd have to do the math on that. But they were quite rapid as well.
Joseph D. Hovorka - Raymond James & Associates, Inc., Research Division: Right. And then to follow on some of the other questions. Clearly, unit inventory is not going to come down, right, as retail sales continue to go up, but you would expect, it sounds like from your comments, because we've got the front-end load from the new products in '14, start of Indian, that units may go up, but turn should also improve, maybe starting as early in the fourth quarter.
Michael W. Malone: I would expect -- we've been seeing turns improvement all year, and I would expect we're going to continuously see turns improvement in '14. And as Scott said in that question, I'd expect us to bring the sequential increase down in the fourth quarter.
Richard Edwards: Okay. Guys, that's all the time we have this morning. We want to thank everyone for participating in the call today, and we look forward to talking to you again next quarter. Thanks again and goodbye.
Operator: Thank you for joining, ladies and gentlemen. This concludes today's conference call. You may now disconnect.